Operator: Good day and welcome to the iMergent, Inc. Fourth Quarter 2010 Financial Results and Year-End Earnings Conference Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Mr. Steve Mihaylo. Please go ahead.
Steven G. Mihaylo: Thank you, Brendon. Good afternoon, everyone. Before we get started here, I'd like to introduce who I have with me on this call. With me today is Clint Sanderson, our Chief Operating Officer; Jon Erickson, our Chief Financial Officer; Jeff Korn, our Chief Legal Officer; David Krietzberg, our Chief Administrative Officer; and Jeff Jarvie, iMergent's Controller. The meeting today will be a high-level overview of the quarter and the year-end by me, followed by details from Jon Erickson and a Q&A session after that. But before we get started, I'd like Jeff Korn to read our Safe Harbor statement.
Jeffrey Korn: Thank you, Steve. I want to take this opportunity to remind listeners that this call will contain forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The Private Securities Litigation Reform Act of 1995 provides a safe harbor for such forward-looking statements. All statements made in this conference call other than statements of historical fact are forward-looking statements. Forward-looking statements include but are not limited to words like believe, expect, anticipate, estimate, will, and other similar statements of expectation identifying forward-looking statements. Investors should be aware that any forward-looking statements are based on assumptions and are subjects to risks and uncertainties that could cause actual results to differ materially from those discussed here today. The risk factors are explained in detail in the Company's filings with the Securities and Exchange Commission, including the Form 10-K for the fiscal year ended December 31, 2009, and the Forms 10-Q for the period ending March 31, 2010; June 30, 2010; and September 30, 2010. iMergent does not undertake any obligation to publicly update or revise any forward-looking statements, whether a result of new information, future events or otherwise. With that, I'd like to turn the call back to Steve for some comments.
Steven G. Mihaylo: Thank you, Jeff. Let me just go over the broad overview of the numbers. For the year ended December 31, 2010, and this was the first 12 months under our new year-end, we had $64.5 million in sales compared to $75.9 million for the year ended 2009, December 31, 2009. For the quarter ended December 31, 2009, we had $16.6 million in sales compared to $18.4 million for the quarter in the previous year 2009. This also compares to $14.3 million in the third quarter of 2010, ended September 30. So it’s a decrease over 2009 and it’s an increase over the third quarter. Our net loss for the fourth quarter of 2010 was $2,405,000 or $0.21 per diluted common share compared to net income of $613,000 or $0.06 per diluted common share in the prior year quarter. Loss before income tax provision for the fourth quarter of 2010 was $1,538,000 compared to income of $868,000 in the prior-year quarter. The income tax provision for the fourth quarter of 2010 was $867,000 compared to an income tax provision of $255,000 in the prior-year quarter. And I’m going to let Jon Erickson get into the reasons for an increase in taxes over the previous year. Cash from operations for the fourth quarter of 2010 was $665,000 compared to $1,615,000 for the prior-year quarter. As of December 31, 2010, cash and cash equivalents were $14,207,000, working capital was $11,388,000, and working capital excluding deferred revenue was $25,145,000. Total current and long-term trade receivables were $21,464,000 as of December 1, 2010. As you know, 2010, we had a lot going on. We totally retooled our business. We added additional revenue streams. We went from a sale of software licenses to a software as a service model and we introduced a new product early in the first quarter of this year, our telecom product. I will get into the details of that, but first, I’d like to turn it over to Jon Erickson, our Chief Financial Officer, to get into the details. Jon?
Jonathan R. Erickson: Thank you, Steve. I’d like to start off by providing an update with where we are with several of our initiatives. As we mentioned in the last quarter earnings call, we saw fairly significant increase in the response to our mail piece during the quarter, while at the same time, maintaining relatively high sales metrics. To give you an example of the impact response rates have on our StoresOnline division, our advertising expenses associated with direct mail actually decreased by 3.5% from Q3 to Q4 this year. In other words, we sent out less mail pieces this quarter than last quarter, yet the number of attendees at our preview events increased by 43%. Typically, when we see this dramatic of an increase in our response rates, we also see a decrease in our sales metrics. This quarter, however, we either maintained our sales metrics or improved them, as we were able to increase the average number of buying units per event from 70% during Q3 to 89% during Q4 and maintain a similar close percentage at 28% this quarter compared to 29% in Q3. The one negative and disappointment we had in our StoresOnline division during this quarter was our percent of workshop buyers who paid cash at our events, which dropped to approximately 33% compared to 37% last quarter and 43% in the prior-year quarter. As a result of this decrease in the cash percentage and due to the fact that we recognize revenue when cash is collected and not at the time of sale, the benefit from these improving sales metrics flowed through the balance sheet as an increase in accounts receivable and deferred revenue, rather than through the income statement. As a result, we were able to increase our deferred revenue balance by approximately $4.4 million during the current quarter. Essentially, we increased our StoresOnline backlog, rather than increasing revenue. While this drop in our cash percentage was disappointing and had a negative impact on our short-term profitability, we did start to see a slight improvement in the collection rates of our accounts receivable this quarter. While it is still too early to tell if this is a trend, we are pleased with the indicators we are seeing on our receivables portfolio and expect these increases in receivables to pay dividends down the road. In regards to what we are seeing so far in January and February, we have continued to see high response to our direct mail marketing, but we were hit with some weather challenges in the Southeast and the Northeast during January and the first part of February, which reduced our number of workshop attendees to a little less than 80 during those times. We have since recovered and are again seeing larger crowds at our preview events and our workshop events in the latter half of February. Our workshop sales rate has remained strong through the first month and the half of this year, but we have not as yet seen an improvement in our cash percentage. As we mentioned on the last earnings call, we were able to transition the majority of our workshop events from selling a perpetual software license to selling our software as a software-as-a-service and adding in additional products and services to maintain the same average purchase price. As a result of the change in the product mix of our bundle, our deferred revenue balance increased by an additional $660,000 as compared to what it would have been had we continued with the same software license bundle. In preparation for this coming year, there is new accounting guidance related to the recognition of revenue on multiple-element arrangements that is applicable for us beginning in the first quarter of 2011 that has the potential to increase the amount of revenue we defer on each sale for a period of between three and six months. While this change in accounting guidance will not impact us on a cash flow basis, it will impact our earnings over the next year as the recognition of our revenue will be delayed. In regards to Crexendo, we were able to generate Crexendo revenue of $400,000, with year-to-date revenue of $1.322 million. We have started to see good traction in our Crexendo division and have seen an increase in number of bookings over the past several months. We continue to explore new marketing channels in an effort to diversify our customer base and increase the amount of leads we are generating. As it relates to our direct sales team, we currently have 12 sales reps in various locations throughout the U.S. Doug Gaylor, our VP of Sales for Crexendo, will be moving to Phoenix in the next few months as we plan to consolidate the new reps we hire in the Phoenix area to create greater sales productivity. We are currently focused on increasing and diversifying the lead flow to the sales reps we have and will add reps as the lead flow demands, which we expect will happen probably in Q2, Q3 and Q4. Our Crexendo telecom division was able to complete the development of Phase I of our telecom offer, which we have rolled out through our StoresOnline Preview event starting in February 2011. We have seen a good initial response, but are still unclear as to what we can expect from an activation and retention perspective. During the quarter, we had a one-time charge for an impairment on loss on sublease of certain office space of approximately $475,000, $380,000 of that related to our StoresOnline division, as well as one-time charges in our tax provision of $798,000 during the quarter related to a valuation allowance on our foreign tax credits as we have decided to focus primarily on domestic locations during the coming years; as well as an additional FIN 48 liability associated to amended returns related to foreign-sourced income. As Steve mentioned, from a cash flow perspective during the three months ended December 31, 2010, we did generate positive cash from operations of $665,000, and for the year, positive cash from operations of $39,000. With that, I will turn the time back over to Steve.
Steven G. Mihaylo: Thank you, Jon. Before I open it up to Q&A here, I’d like to just talk about some of the accomplishments we had during the year. I know the revenue and the earnings are disappointing, but you have to remember that we've been in a major retooling of our business here. We've brought on several new revenue streams. Crexendo, as you can see, is starting to get traction from virtually no revenue in 2009 to about $1.3 million last year and the trajectory is looking very good in that area. Our telecom division, we had zero revenue in that and we should have meaningful revenue, if not significant revenue, during 2011. I'm going to let Clint Sanderson talk about that in a minute here. As you know, it's a very tricky thing to change from a software license to a SaaS model and we've more or less completed that transition. So, a lot of work has been done here. We are also initiating our – what we did, starting in the fourth quarter of last year, we started the initiation of our quality process, which is designed to drive cost down and also drive decision-making down, which empowers your people and it improves employee morale and retention. So, a lot of things were going on, and we've now laid the cornerstones for all of that to start leveraging it this year. But as Jon Erickson pointed out, we still have ways to go, and there's no certainty that any of this will work, but as you can see, it is starting to work in our Crexendo division, in the web services part of it, and it's working – it's starting to work in the telecom area. And we've made significant improvements in the StoresOnline division. Maybe you'd like to comment just a little bit, Clint, before we open this up for Q&A.
Clint Sanderson: Yeah. Just to Steve's comment about the hosted telecom application, the Phase I release in our StoresOnline channel, what that product in essence does is it gives our small office home office customers a phone system that helps them to appear like a professional business and it helps them manage the phone communications that they receive that typically are coming into their home. The benefit to our customer, one, is not only do they have all of the professional features and functionality, but the way that it works is we actually replace, with our Internet telephone adapter, we replace their current phone and long-distance bill with our application. So as has already been mentioned, we've started to sell that in the StoresOnline channel, and we are optimistic about the future of that product. Steve?
Steven G. Mihaylo: Yes. Brendan, at this time, we’d like to open it up for Q&A.
Operator: (Operator Instructions) We will take our first question from (inaudible) with Sonora Investment.
Steven G. Mihaylo: Good afternoon, Bruce.
Unidentified Analyst: Good afternoon, gentleman. I was just curious how did the stock buyback go?
Steven G. Mihaylo: We were able to buy back approximately 750,000 shares at $4.75 a share, which was about $3.7 million. Is that correct, Jon?
Jonathan R. Erickson: Correct. We also had a 10b5-1 plan in place since the stock buyback and have been buying stock as the market permits.
Unidentified Analyst: I'm sorry, I didn't catch that last part?
Jonathan R. Erickson: After the tender offer, we've also had a 10b5-1 plan in place, so we've been buying back stock under that plan if the market permits.
Unidentified Analyst: Okay, fine. Any number on that?
Jonathan R. Erickson: We've bought back approximately 20,000 to 30,000 shares since then.
Unidentified Analyst: Okay. So the tender offer went pretty well.
Jonathan R. Erickson: Yes.
Unidentified Analyst: Good. Thank you.
Operator: Our next question comes from Jeff Bash, Private Investor.
Steven G. Mihaylo: Good afternoon Jeff
Jeff Bash - Private Investor: Hi, how are you. I have a few questions. I guess this is for Jon Erickson, the first one. You mentioned how the revenue from events in the fourth quarter increased from $10,131,000 to $10,054,000, and then you pointed out that the cash purchase – the cash payment was 43% a year ago and 33% this year.
Jonathan R. Erickson: That’s correct.
Jeff Bash - Private Investor: Am I correct that if I divide the last year number by 43% and this year number by 33%, I in effect get the gross revenue from workshops conducted during the quarter?
Jonathan R. Erickson: You will be close. Had our debt percentage this year been the same as last year, 43%, we would have had about $2 million more in revenue.
Steven G. Mihaylo: Jeff, but you have to – there's something else that's significant here. Our bad debt reserve, because of the collections success that we've been getting on our receivables has actually gone down. So, we are actually collecting more on the back end than we have been in the past by about 3 or 4 percentage points.
Jonathan R. Erickson: We’ve started to see positive trends in receivables. This quarter was the first time we started to see it. It’s too early to tell whether it’s going to become a trend. But the improvements we saw in our collections in the fourth quarter was it’s the first time we have seen any improvements in about two years. But again it’s a little bit too early to call it a trend.
Jeff Bash - Private Investor: Well, the point of raising that question that I asked was that, with the arithmetic I did, the gross revenue actually increased quite significantly from the fourth quarter last year to the fourth quarter this year. And had you had the same cash payment as you had a year ago, you said it would have been $2 million better. My arithmetic was even better than that. So the cash accounting required for reporting the revenue is unfortunately distorting the improvements you actually have been achieving in your StoresOnline division?
Jonathan R. Erickson: That's correct. You saw an increase in our deferred revenue in this quarter of $4.4 million, which is not insignificant.
Jeff Bash - Private Investor: Next, we hear a lot about social media and mobile commerce these days as a factor in e-commerce generally. Is the company on top of these changes and making appropriate adjustments in your presentations or whatever you might think it is?
Steven G. Mihaylo: Jeff, that's part of our overall strategy here, is to have a very heavy component of all of our products and services on mobile devices from tablets to smartphones, et cetera. I'm going to let Clint Sanderson talk about that for a moment here. Clint?
Clint Sanderson: Yes, thanks, Steve. On the social media front, we continue to develop our platform to adapt to using social media so that our customers who are marketing online can utilize those tools. We've always offered training outside of web development and web promotion on using tools like Amazon.com, using eBay and now we've expanded that into using Facebook and social media to drive traffic and business with an online business and also providing the tools to do that. So we are on top of that. Second, on the mobile front, we believe strongly that mobile is where we need to go. And so what we've done, we actually have right now a beta version of our mobile optimized websites, which basically, within our store builder platform, a customer who is building a website can go in and very simply select just say I want to make this site mobile-optimized, select the elements of how they want that to look, and then anyone who comes into that site with a smartphone right now, it's an iPhone or a Droid, anyone that comes in through one of those phones, the site is optimized for mobile. And again, that's in beta right now, and we expect to see that general release next quarter. So, we are on top of these things and see them as very important to the future growth of our business.
Jeff Bash - Private Investor: Good. Now, with respect to the telecom initiative, you mentioned Phase I was already implemented earlier this month and that Phase II will be in beta in the next quarter or so. So, we are really talking about an enterprise offering not being until much later in the year. Is that fair to say?
Steven G. Mihaylo: That is fair to say. However, it's important to understand that we think we're going to get pretty good traction, considerably more than what we've originally thought, just selling it through the current channel, the StoresOnline channel.
Jeff Bash - Private Investor: Now, I recall a few years ago, when this was first contemplated and started, it was thought to be a distraction from the core purchase. Are you seeing anything different this time around?
Steven G. Mihaylo: No, because as we’ve positioned this more into a recurring revenue model where we charge for all of our products and services on a monthly basis, it becomes a natural to want to offer our small business operators everything that they need to run a business, and telecom is certainly part of it. And part of our mobile strategy for telecom will be to have the same mobility that you have with the websites. In other words, you'll actually, with our service in one of the releases and I'm not sure, if it'll be this year or early next year, on your mobile device, when you leave the office, the same extension number will follow you and an operator can answer your calls, screen them and then put them through to you just the same way she would if you were in the office So this gives the appearance and the look and feel of a much larger business and in some cases, it will be a large enterprise. But for the larger enterprises, it will also allow people to have conferencing from their mobile devices at a much easier method of doing it and it will also bring down their cell phone costs, we think, going forward. So it gives them a lot more mobility and a lot more of the feel and the look and the touch of being in the office with all their support staff around them. So, as this comes together, we are seeing a lot of additional opportunities for premium services and things of that nature. But we are currently pretty much selling with one team only. We've got 15 or so teams out there, when you add in the workshop teams, it's closer to 17, I think. Is that right, Clint?
Clint Sanderson: Yeah.
Steven G. Mihaylo: Yeah, 17 teams. We've only got one team currently selling this for the last two or three weeks and we already have a significant backlog. And it looks like we're going to be able to sell at least one telecom line and possibly even two, in some cases, with every sale of our web services. And that can be significant. For sure, it will be in the hundreds of telecom customers per week, and it could easily be in the thousands per week once we get ramped up.
Jeff Bash - Private Investor: Good. Last question, on Crexendo, you had $356,000 in revenue in the third quarter, and I seem to recall that your comments on that conference call were more optimistic than just doing only $400,000 in the fourth quarter. Could you comment on that and –.
Steven G. Mihaylo: Yes, I'm going to let Jon Erickson talk about that. But you need to also look at our backlog. These are signed contracts, and we have close to $1 million in backlog right now. Can you talk about that, Jon?
Jonathan R. Erickson: Yes, Jeff. So, the bookings that we've been getting over the past several months have been mostly in the recurring nature. And so you'll have a large booking of $24,000 or $30,000, but you'll recognize that over a 12-month period. So, most of the sales that we've been – or most of the bookings, we've been generating have been more recurring in nature than one-time, which would create quicker revenue recognition.
Jeff Bash - Private Investor: Okay. That's it from me.
Jonathan R. Erickson: Thank you.
Operator: We will take our next question from Ernest Segundo with Pandion Capital.
Steven G. Mihaylo: Good afternoon Ernie. Are you there, Ernie?
Ernest Segundo - Pandion Capital: Can you hear me now, guys?
Steven G. Mihaylo: Yeah, I can hear you now Ernie.
Ernest Segundo - Pandion Capital: Yes. Good afternoon, thanks guys. Couple of questions. One, on the core business – and I actually, it's more of a comment – it sounds like you're doing a really good job of increasing the metrics, given the smaller, more efficient amount of teams. And I wanted to see if you guys could talk a little bit about the quality of the customer you're attracting, any metrics there? And then I'll give you my other one on Crexendo.
Steven G. Mihaylo: I'm going to let Clint Sanderson handle that one, Ernie.
Clint Sanderson: Ernie, at our preview events, from a marketing perspective, as far as the quality of our customers or quality of our attendees at our events, if we look at this year versus last year, we are not seeing any kind of an improvement or decrease in the quality of the attendees. What we're doing instead is we've changed the process at our preview meetings so that we have a stricter qualification process in place. And that's actually what's helping us with the sales metrics, the better sales metrics we are seeing this year over last year, is that qualification process at our previews.
Ernest Segundo - Pandion Capital: Okay. And do you have any metrics that can talk to the issue of how long the customers are staying with you, and if any of the results of the better-qualified sales that you're making is impacting their duration?
Steven G. Mihaylo: Well, I'm going to let Jon Erickson talk about that, but I will say this. Your telecom customers are much stickier, we believe. And we have the opportunity to create the same kind of stickiness when you bundle with the Web services customers. This is on the StoresOnline site. On the Crexendo side, we are seeing almost 100% retention. In other words, if we sign somebody up for a 12-month or a six-month link-building service or search engine optimization and things like that, these are companies that are in business. They've been in business for quite some time. And what we're doing for them is helping them get a percentage. You know, it starts out small, and obviously, it grows, but a percentage of their revenue from the web. And in a lot of cases, some of these companies have never gotten a dollar's worth of revenue off of the web. So we are seeing a very, very high percentage of those customers staying with us and we think it's going to be for a long time. Now, obviously, we've only been at it for 13 or 14 months, but the first indications are very positive. On the StoresOnline side, obviously, you have some of the same problems we've got with cash collections and other things when you're dealing with consumers, entrepreneurs and the SOHO market. So we think that's a huge opportunity for improvement. If we just improve that by a couple of percentage points, it's going to add to our hosting revenue and overall opportunity for revenue going forward. But I'm going to have Jon Erickson actually talk about some of the specifics. Jon?
Jonathan R. Erickson: So, from the metrics perspective, Ernie, we're not prepared at this time to start disclosing metrics like churn. But as we move more and more to the SaaS model, that is something we will start disclosing in the future. From the quality process perspective, our key focus is actually on customer retention and activation. And so it's key metrics that we are monitoring in-house, and as soon as you see us shift more to the SaaS model, we will start disclosing those metrics where you'll see churn, subscription data and et cetera. But at this point in time, we are not quite prepared yet to start disclosing those metrics.
Ernest Segundo - Pandion Capital: Got you.
Steven G. Mihaylo: Does that answer your question, Ernie?
Ernest Segundo - Pandion Capital: That gives me a sense. And as it pertains to Crexendo, I'm wondering how to think about the revenues are clearly increasing, and I understand that. How to think about break-even points and the run rate coming out of the fourth quarter and how to think about that for the year ahead.
Steven G. Mihaylo: Well, you can see that our operating expenses as a percentage came down significantly in the fourth quarter versus the previous quarter. And I think that we will probably see that sort of improvement each quarter from now on. So, you know – and this is just an estimate on my part, but I think it's possible that we could be profitable in the fourth quarter of this year or the first quarter of next year in Crexendo and then build from there. Jon Erickson is also going to add some additional background on that.
Jonathan R. Erickson: Yes, and so from the break-even perspective, it really depends upon how quickly we ramp the salesforce. If we ramp the salesforce quickly, breakeven point gets higher. But what we're focused right now on the sales is making the sales reps that we have more efficient by increasing the leads that we are providing them. As soon as our sales reps are at capacity from a lead perspective, we will add additional sales reps that can be up and running quickly. So, the focus right now is generating the leads, making our sales reps more efficient, and then we will add, which should allow for a lower breakeven point and if we just started adding salespeople without making them efficient.
Steven G. Mihaylo: If you put the term SEO or search engine optimization into Google or one of the search engines, Google probably is the best one to do it with. You'll see that we've already attained ranking on the first page. We've got a high page rank, which is different than where you appear on the page. Page rank is your relevancy. And we've already got a five on our Crexendo.com, which is actually exceptionally good for a company that's only been at it for about 12 months here. Some of our competitors have been at it for years, and we are on the first page in almost every type of search that you can do. For instance, if you search in a city like Salt Lake City or New York or nationwide, you'll usually find us on the first page, which is very significant as far as potential for future revenue.
Clint Sanderson: And just a little more, this is Clint a little more color to that, we are using online paid search. So we use Google paid search. So you will find us in the sponsored listings. And then if you search, our strategy as far as lead gen, is we are local because our customers that we are focused on, our focused demographic of businesses is local businesses. So, if you type in local, like Salt Lake City SEO, Provo SEO, where there is search demand, that's where we are finding traction in the organic search results in Google and the other search engines.
Steven G. Mihaylo: And the same area, the same in other areas where we have salespeople. Is that correct?
Jonathan R. Erickson: That's correct. Yeah, that's where it's focused.
Steven G. Mihaylo: And we have currently salespeople in Southern California, Phoenix, Washington State, Kansas, Missouri, and Florida and New York.
Clint Sanderson: New York City and New Jersey.
Jonathan R. Erickson: Washington, DC.
Steven G. Mihaylo: Washington DC. So, we've got, we are starting to fill in the country here.
Ernest Segundo - Pandion Capital: Well, that's great, gentlemen. It sounds like you are on a good trajectory and understand the difference between the cash accounting and when you have to do it ratably over time if you're building a good business model.
Steven G. Mihaylo: Well and eventually, I don't know when that will occur that we hit the crossover point, but all of our Crexendo customers are on regular GAAP accrual accounting. All of our telecom customers will be on accrual accounting. And eventually, all of our StoresOnline customers will be on accrual accounting. And at that point, it won't be this convoluted accrual and mostly cash accounting that’s a little confusing for most people. So that day is rapidly approaching.
Ernest Segundo - Pandion Capital: We welcome it coming.
Steven G. Mihaylo: So do we.
Ernest Segundo - Pandion Capital: Thanks
Steven G. Mihaylo: Thank you, Ernie.
Operator: (Operator Instructions) And it appears we have no further questions.
Steven G. Mihaylo: All right. Well, we really appreciate all of you joining us today. And we look forward to being with you after our first quarter 2011 results are in. Thank you and good day.
Operator: That does conclude today's call. Thank you all for your participation.